Operator: Good morning. My name is Lisa, and I will be your conference operator today. At this time, I would like to welcome everyone to the Second Quarter 2014 Earnings Conference Call. [Operator Instructions] Mr. David Castille, you may begin your conference.
David Castille: Thank you, Lisa. Good morning, and welcome to the Amedisys Investor Conference Call to discuss the results of the second quarter ended June 30, 2014. A copy of our press release is accessible on the Investor Relations page on our website. Speaking on today's call from Amedisys will be Ronnie LaBorde, President and Interim CEO; and Dale Redman, Interim CFO. Before we get started with our call, I would like to remind everyone that any statements made on this conference call today or in our press releases that express a belief, estimation, projection, expectation, anticipation, intent or similar expression, as well as those that are not limited to historical facts, are considered forward-looking statements and are protected under the Safe Harbor of the Private Securities Litigation Reform Act. These forward-looking statements are based on information available to Amedisys today, and the company assumes no obligation to update these statements as circumstances change. These forward-looking statements may involve a number of risks and uncertainties which may cause the company's results or actual outcomes to differ materially from such statements. These risks and uncertainties include factors detailed in our SEC filings, including our Forms 10-K, 10-Q and 8-K. The company disclaims any obligation to update information provided during this call other than as required under applicable securities laws. Our company website address is amedisys.com. We use our website as a channel of distribution for important information, including press releases, analyst presentations and financial information regarding the company. We may use our website to expedite public access to time-critical information regarding the company in advance or in lieu of distributing a press release or a filing with the SEC, disclosing the same information. In addition, as required by SEC Regulation G, a reconciliation of any non-GAAP measures mentioned during our call today to the most comparable GAAP measures will be available on our website on the Investor Relations page under the tab Financial Reports, Non-GAAP. Thank you, and now I'll turn the call over to Ronnie LaBorde.
Ronald A. LaBorde: Thank you, David. Let me begin by thanking the entire Amedisys team for a spirited and concentrated effort that led to a significant improvement in performance during the second quarter. They focused on the task at hand and are a continuing inspiration. Next, allow me to update you on the commitments to our investors that we outlined on our previous quarterly call. Our most important commitment and primary focus is to deliver care with clinical excellence. The next CMS Home Health Compare data set is due any day now. While we wait to see the results, our own internal data reflects sustained performance in most measures and improvement in 2 of the 9 reported measures. Our care center teams remain focused on quality of care and the quality of care we deliver for our 58,000 patients every day. Second, our goal is to achieve consistent and sustained organic growth. In home health, our 316 care centers that make up our core portfolio achieved a 2.6% year-over-year same-store sales -- same-store increase in Medicare admissions and a 5.1% increase in episodic admits. In hospice, we do not achieve positive growth. In our 80 care centers that make up our core portfolio, we experienced a 1% decline in admissions and a 2% decline in average daily census. The third commitment we made was excellence in our core operations. This commitment refers to an efficient cost structure, both in terms of direct and G&A costs. On the direct cost front, our cost per visit in home health declined over $5 sequentially to $85. Home health gross margins increased 360 basis point sequentially and were flat year-over-year at 42.8%. In hospice, volume declines and a slight increase in cost reduced gross margins by 120 basis points year-over-year to 46%. Additionally, consolidated G&A expenses, exclusive of depreciation and amortization and bad debt, decreased over $8 million year-over-year and $6 million sequentially. Approximately half of this sequential decline relates to closed care centers. The remainder indicates that we are slightly ahead of pace from our previously announced target of an annual $10 million reduction in G&A expenses. Due in large part to the operational improvements I discussed and the initiatives we previously announced, we generated revenue of $305 million in the quarter and adjusted earnings of $0.25 per share. Adjusted EBITDA was $22 million or 7.3%, an improvement toward our goal of returning to at least industry-level margins. Included in the second quarter results is $2 million of negative impact from care centers that have now been closed or consolidated. In the third quarter, we expect little to no financial impact from this group of care centers. Also included in the second quarter results is $3 million in restructuring and consulting costs, which may not recur in subsequent periods at the same levels. We are optimistic about the second half of the year. However, we would caution investors not to assume our second quarter performance is our new run rate. The second quarter is historically our best quarter of the year, and there is still much work to be done to achieve our desired level of performance on a consistent basis. While we believe the cost reductions are sustainable, we do not yet have the same visibility into top line growth. However, we are developing initiatives that we believe will help support organic growth. We are near the completion of our operating model review conducted by the Boston Consulting Group. Several strategies are being developed that would be tailored to different regions of our operation, and we are confident they will enhance our ability to achieve improved and sustained operating performance. As we announced earlier this month, we were notified by the SEC that their investigation into Amedisys has been completed, and they recommended no enforcement action. We are pleased this matter has been closed. With respect to our AMS3 implementation, we are still in beta testing at our first site. Our next site is to begin testing on September 1. We will provide more updates on our implementation schedule as the testing process progresses. Turning to our balance sheet. We amended our senior secured credit facility and closed on a $70 million second lien term loan. Going forward, these credit facilities provide both flexibility to operate our business and adequate liquidity as we approach the second and final payment associated with our DOJ settlement in late October. CMS released its 2015 proposed rule for home health earlier this month. Our preliminary estimate is a negative 0.8% reimbursement reduction. While we are still working to determine the ultimate impact, we do view some of the changes as incrementally positive for our business, specifically the elimination of a physician narrative requirement for face-to-face encounters. Finally, the search process for the permanent CEO continues. There is no color or other update that can be provided at this time. And with that, I'll turn it over to Dale Redman, our Interim Chief Financial Officer.
Dale E. Redman: Thank you, Ronnie, and good morning, everyone. For the quarter, we generated revenue of $305 million and earnings of $0.23 per share on a GAAP basis. This includes a $2.1 million on a gain associated with our previously disclosed divestiture of Idaho and Wyoming care centers. A write-off -- an asset write-off of $1.5 million associated with noncore operations and a $1.5 million increase in reserve related to previously disclosed OIG self-reported matter. Adjusting for these items, we earned $0.25 during the quarter. Adjusted EBITDA was $22 million with a margin of 7.3%, a sequential improvement of 550 basis points. Adjusted EBITDA was also up 13% year-over-year. Going forward, we will be focusing on year-over-year metrics associated with our core portfolio because we believe the business is stabilized and these comparisons will become more meaningful. However, we have closed 79 care centers since last June, which significantly affects the comparability of these statistics for the second quarter. So in total, home health revenues were down $7 million to $244 million in the second quarter. Total revenue admissions fell 8%. However, as Ronnie mentioned earlier, our core portfolio had 2.6% growth. Revenue per episode was up slightly, and cost per visit was up 1%. The recertification rate increased 100 basis points to 37.4%. Adjusted gross margin was 42.8%, which was flat year-over-year and up 3.3% from the first quarter. The largest component of the sequential improvement in home health was our reduction in cost per visit, driven by shifting of more clinicians to pay-per-visit model. Some improvement was anticipated due to the absence of any weather-related costs in the second quarter and the impact associated with payroll taxes that are always higher towards the beginning of the year. For the quarter, we performed over 1.6 million patient visits and reduced our cost per visit by over $5 from the first quarter, translating into an incremental gross profit of approximately $8 million. In hospice, revenues were down 6% year-over-year. Average daily census was down 7%, and hospice admissions were also down 7%. Revenue per day was up 1%. Cost per day was up 4%, and the average length of stay was flat at 99 days. Hospice gross margins declined 120 basis points to 46%. We ended the quarter with $11 million in cash on the balance sheet compared to $3 million at the end of the first quarter. Today's press release showed cash flow from operations of a negative $89 million. That number includes the effect of $120 million payment to the DOJ. Excluding the DOJ settlement and related fees, our cash flow from operations was $31 million, up from a negative $6 million in the first quarter and down from $33 million year-over-year. We benefited from a 2-day reduction in DSO to 32 days. We made the first payment associated with our DOJ settlement, drawing the entire amount on our revolving line of credit in early May. During the second quarter, we paid down $15 million on the revolver from excess cash flow. We had $3.5 million in capital expenses and $3 million in required term loan repayments during the quarter. We have improved our capital structure with the amendment of our existing credit facility and a new $70 million, 6-year second lien term loan that will better support our capital needs going forward. Associated with the new capital raise, our senior credit facility revolver was downsized to $120 million, and we gained flexibility under both credit agreements. We used the proceeds from the new second lien term loan and excess cash flow to pay down $80 million on the revolver. In early May, we made the initial DOJ payment of $120 million. Since then, we have paid down $31 million on our revolving credit facility from operating cash flow. Today, our revolving credit balance sits at $25 million, and we have $74 million in available liquidity. The interest rate on the second lien loan is LIBOR plus 750 basis points with a 1% LIBOR floor. There is no amortization and a minimal call protection of 1 02 in the first year and 1 01 in the second year. We paid a 2.5% OID, and KKR Capital Markets was the arranger. This refinancing provides us with flexibility in the terms of our financial covenants and in the uses of capital. At the end of the quarter, our total leverage ratio was 2.7, well below the maximum level for the quarter of 3.5. While we're encouraged by our performance in this quarter, we caution investors against annualizing these results. As we stated previously, the second quarter is typically our best quarter, and volume and revenue per episode may not be as strong in subsequent quarters. There's also some increase in costs associated with additional holidays, along with greater interest costs associated with our new term loan. Lastly, we are not providing guidance for the rest of 2014. This concludes our prepared remarks. Operator, please open the call for questions.
Operator: [Operator Instructions] Your first question comes from Darren Lehrich from Deutsche Bank.
Darren Perkin Lehrich - Deutsche Bank AG, Research Division: A few things here. First, I wanted to ask about just the cost-per-visit trends, and obviously, you made some progress here in the quarter. You alluded to that in Q1. What I heard you say, Dale, was that a lot of it was explained by the shift to pay per visit and the lack of weather. I'm just wondering if you can give us a little bit more detail on where you're at, where you think you can take it to. Is this a more normalized cost-per-visit level? Or do you think it improves from here?
Dale E. Redman: Well, first of all, I think the $5 decrease from the first quarter, about half of that we anticipated because of weather-related issues that we talked about in the first quarter. I think $2 million of weather-related issues and being in the first part of the year, you have more payroll tax issues. The other half, I think, comes from not only the issues related to moving to more pay per visit but other issues that we've done as we move through the process of improving our gross margin. Absent the issues like weather-related issues and things or seasonality like payroll taxes in the first quarter, we think the $85 is pretty -- is closer to what we'll see as a run rate going forward. I would point out that across the board, both the G&A in terms of our operating expenses, our objective is to build the most effective and efficient platform that we possibly can. So I think there's more work to be done there. In addition, there will be an impact on cost per visit related to holidays, which we include in the concept of what that cost per visit is. So having said that, I think this run rate is probably closer to where we will be in the near term, but we have more work to do.
Darren Perkin Lehrich - Deutsche Bank AG, Research Division: Okay. That's helpful. And then I guess just trying to isolate some of the things you mentioned, Ronnie, that may not repeat. I thought I heard you say $2.5 million drag from care centers that you'll subsequently exit and then the $3 million of restructuring. Was there anything else that you spiked out? I just want to make sure I have those numbers.
Ronald A. LaBorde: You do have those right, Darren. The $2 million from the closed care centers was pretty much in line with what we anticipated. We knew that it would be the third quarter before all of that would be gone. So that -- the $4 million impact in the first quarter was now $2 million in the second. We think that's largely gone. So that's kind of flowed as we anticipated. And then also in this quarter, we ended up with $3 million of cost that our view is that probably it won't go forward if the -- at the same levels and may not recur in subsequent periods. But that's another impact of this quarter that won't necessarily repeat itself at that level for sure.
Darren Perkin Lehrich - Deutsche Bank AG, Research Division: Okay, great. And then just the last thing I have is just really in the hospice side. So revenue per day up 1%; cost per day up 4%. So there seems like there is probably a little bit of work to do on the cost side as well in hospice. Can you just talk to us about what you're doing there? And any trends that you'd want to highlight in hospice that led to a little bit of the softer result?
Ronald A. LaBorde: Well this is a good 'question, Darren. Hospice, we're not quite achieving yet the improvement that we're targeting. I think we have obviously an opportunity to -- and a clear focus to improve organic growth, improve admissions and regrow our senses, so that's sort of an opportunity. And on the cost side, we're working through the change in Part D dose medications. Overall, I would say our -- in my view, and where we are is that hospice has been a relatively consistent performer, contribution-wise, over the last few quarters but with an opportunity for improvement. So we're working on, now, plans as to how we really reinvigorate our hospice platform and kind of return, hopefully, the same profile that we're experiencing in home health, which is positive organic growth with better cost management. So it's our opportunity, and we'll focus on it.
Operator: Your next question comes from Kevin Ellich from Piper Jaffray.
Kevin K. Ellich - Piper Jaffray Companies, Research Division: Just a few questions. Dale, kind of starting with a follow-up to Darren's question on the cost savings and reduction we saw, that $5. So is it safe to assume you think we could get, maybe, $2, $2.50 of the cost savings through the remainder of the year, if I heard you correctly? Or you were kind of implying something with the holidays? So maybe a little bit less than that?
Dale E. Redman: No, what I said was probably the $5, about half of that we anticipated from weather-related and payroll taxes coming from the first quarter to the second quarter. So a lot of our initiatives to reduce costs going forward related to the transfer of some of our clinicians from salary to pay-per-visit. We will have additional work that we intend to do in terms of improving the efficiency of that operation over time, and you are correct that holidays going forward, we'll have more of those in the third quarter and the fourth quarter than we did in the second quarter. That will have some impact on it. But coming off with $85 run rate, I think we have more work to do, but that's probably a pretty good starting place.
Kevin K. Ellich - Piper Jaffray Companies, Research Division: Okay. That's helpful. And then are there any elements of guidance that you guys could provide or want to provide at this point? Or are you still planning on doing that at some future point in time?
Dale E. Redman: Well, here's where we are. We have what we think is pretty good visibility into our cost structure. As I mentioned a couple of times already, we have plans to continue to work on the efficiency of our operation. What we don't have, at this point, is the same kinds of visibility into our top line growth. I think you can look at what we've done over the last year, we closed over 100 care centers or consolidated over 100 care centers in the last year. And so then there are some things to sort out there in terms of -- particularly in the consolidation front. How much of that revenue are we going to retain in to deconsolidate our care center? So there are some things to sort out there, and we don't believe it makes sense to put numbers out there while we don't have that same visibility in terms of the top line, and we are continuing to work on the cost basis. So I think what we will tell you is that there are some things that will impact us going forward. Revenue, we think, probably, will be impacted because of seasonality. As we mentioned, the second quarter was our most -- is -- has historically been our best quarter. We will have holidays. We will have increased interest costs associated with the new term loan that we put in place. And as we move forward with AMS3, if that stays on schedule as we currently plan, then we'll begin, maybe, putting some depreciation on the books as we move into the fall. So those kinds of things give us -- that's about what we can tell you about where we're going. And therefore, Ronnie had mentioned, and I have reiterated, you cannot take the $0.25 that we're talking about on an adjusted basis and annualize that and assume that, that's our new run rate. Having said all of that, we do believe that with the current consensus probably before this call of $0.16 for the year, we think we're going to have somebody beat that number.
Kevin K. Ellich - Piper Jaffray Companies, Research Division: Okay, now that's helpful. And then the underlying trends that you're seeing in the home health business. We saw a nice improvement in admissions and recertifications on a same-store basis. Have you seen continuation into July? And I guess, what's your outlook for the year? Should we -- are you thinking along kind of a low mid-single-digit volume growth?
Ronald A. LaBorde: Well, Kevin, this is Ronnie. I don't want to get into an early look, a specific early look into July, but I'd say we feel good about where we are in home health, certainly targeting single-digit organic growth and pleased with the results of the second quarter and have some momentum there with this portfolio going forward. So our early view is that we're feeling good about it with work to be done, but it's -- we're seeing some positive signs.
Kevin K. Ellich - Piper Jaffray Companies, Research Division: Okay. And then just going back to Dale real quick, sorry for this one. I missed the CapEx and the mandatory debt payment this quarter. Could you give me that again?
Dale E. Redman: Yes. CapEx was $3.5 million, and the mandatory debt payment is $3 million a quarter, which we made that payment at the end of June. And by the way, on that issue, I can elaborate slightly. The term loan that we had with our senior credit facility bank group has $39 million outstanding at the end of June, and that does amortize the $3 million a quarter, and nothing has changed on that facility.
Operator: Your next question comes from Brian Tanquilut from Jefferies.
Brian Tanquilut - Jefferies LLC, Research Division: Ronnie or -- yes, I guess, Ronnie, a question for you is, from when you did the last call, and we were looking at a sort of $14 million EBITDA target for Q3, I mean, what changed in a span of, let's say, 2 months, for you to be able to get to this $20 million EBITDA this quarter?
Ronald A. LaBorde: Sure. Thanks for the question. We had a good quarter. Things went well. We got the cost side of the direct cost, we got that down, which has been an intense focus, and we're a little bit ahead of where we thought we'd be on the G&A side and what we could achieve. And you couple that with kind of some normal seasonality on volume side that flows into the second quarter, and it just all kind of came together and in much better performance in the quarter with respect to that EBITDA level. And as we go forward, and as we're trying to provide costs [indiscernible] not just annualize this rate that without giving a forecast to that, the first quarter visibility was kind of what might be in our core operations going forward, and of course, that was a third quarter view that we talked about. So I think all said and done, we're -- things came together well in the second quarter with some seasonality, and we feel good about that going forward with the things that we have accomplished to date with work to be done.
Brian Tanquilut - Jefferies LLC, Research Division: Ronnie, to that point, you took out sequentially $12 million on the salaries and expense line, or salaries line. Does that impact your ability to grow the business going forward? And do you think that you've cut to where you did cut into the bone at this point?
Ronald A. LaBorde: No and no. No, it does not impact. A big piece of that reduction is related to the closed care centers and the downsize of the portfolio. So that's kind of a direct G&A impact to that, which we've been working on, we'll continue to work on, to make sure our G&A is rightsized with the size for our organization to properly support our operating units. And also, as you asked to respond to the ability that we can continue to grow the business, I don't think we've cut to the bone. I think we've just made necessary improvements to -- in our supporting G&A costs, and we feel very good about what we -- certainly, a position to do going forward. We just have to do it on sustained and consistent basis.
Brian Tanquilut - Jefferies LLC, Research Division: Okay. And then given the improved financial performance and even the cash flows are looking better, what's your view on M&A at this point, given what seems to be an active acquisition pipeline for the home health industry? I mean, do you feel like you need to get bigger again at this point? Or are you staying on the sidelines for now?
Ronald A. LaBorde: Well, Brian, good question. And I'll tell you that while I'm pleased with the second quarter, we're going to stay focused on the task at hand, and that is to improve our performance and do that on a consistent and sustained basis. The opportunities that may come in M&A downstream, we -- I just want to help, and our focus is to make sure that we're in the best position to -- from an operating performance to act on that if and when that comes. So near term, where our posture is the same, we're focused on improving our performance. And I think we have, well, a good first half, work to be done and the rest, strategic opportunities that will come. We'll just be in a better position to entertain those and think about that downstream.
Dale E. Redman: And our objective in the short run is to continue to delever the company, as we've talked about in terms of cash flow over the last 2 or 3 months. But the additions and the changes we made to our capital structure does give us a lot more flexibility as we go forward to think about those issues. But as Ronnie pointed out, that's downstream. Our focus today is to build the most effective and efficient platform we possibly can.
Brian Tanquilut - Jefferies LLC, Research Division: Got it. And last question for you, Dale. As we think about the volumes, how do you guys differentiate between the external drivers? You're seeing utilization pick up at the hospital level. Volumes in the hospitals are trending better versus market share gains or basically the benefits of the different initiatives you guys have put in place. I mean, as you analyze that internally, what kind of conclusions are you coming up with at this point?
Dale E. Redman: Well, I think we've said before that -- and continue to believe that about 40% of our admissions in home health come from hospitals and about 40% from doctors and 20% from sort of everything else. From a business development standpoint, we continue to focus on those facilities and the doctors that provide us patients that match our 80-, 81-year-old patients. So we continue to look at those kinds of issues. And into what -- I think your question, really, is a business development-related issue, how do we approach that. And that's the way we're thinking about it. We are also in the process of trying to get as smart as we can on those kinds of issues. I don't know if that answers your question, but that's kind of where I am. I don't know. Ronnie, do you want to comment on that?
Ronald A. LaBorde: I think we are keenly focused on the effectiveness of our BD staff, and we'll continue to work with that to do that and respond to the change and the referral sources and how that market moves. The other part of our volume equation that is now stabilized that we remain keenly focused on is our readmission rates. And as we've seen now in the first couple of quarters of this year that it's really more of a stabilized platform, we'll still work to do that consistently and patient by patient as always. But put all that together, and we think there's an opportunity to enhance volumes and while being more effective in responding to our referral sources.
Operator: Your next question comes from Whit Mayo from Robert Baird.
Whit Mayo - Robert W. Baird & Co. Incorporated, Research Division: Just back on the cost per visit for a second, just want to make sure I understand this clearly. Was that really down due to the absolute growth in shifting more clinicians towards a pay-per-visit model? Or because you employ fewer nurses on salary? I guess, I'm trying to differentiate between strategically shifting your comp model versus the reduction FTEs and headcount?
Dale E. Redman: There was a shift in the comp model. We had more clinicians last fall on salary and shifted a number of those into pay per visit. And going forward, we're focused on the pay-per-visit model.
Whit Mayo - Robert W. Baird & Co. Incorporated, Research Division: Okay. And can you update us with your -- you gave some savings expectations for shutting down branch locations and G&A, maybe I missed that. I think in my notes, I have $16 million and $10 million, respectively, for each bucket, and obviously, you're probably tracking above that. But can you update us with those targets?
Ronald A. LaBorde: No. We had -- appreciate the question. So we are on the care center negative impact from closed care centers, that went from a negative 4, again, in the first quarter to negative 2 in the second, and we think that's substantially gone now with those being all closed, and so that's happened about on pace. The $10 million in G&A costs that we anticipate getting at, we are certainly ahead of pace on that. And so I think we are -- what we alluded to is the $6 million sequential decline in G&A costs, about half of that was related to these closed care centers. The other half reflects that we're a little bit ahead of pace on what we thought we'll achieve there. So that's how -- talk about those 2 items if that responds to your question.
Whit Mayo - Robert W. Baird & Co. Incorporated, Research Division: Yes, I guess, they're kind of merging together in my brain right now. But should we still think about the $16 million being a reasonable number sort of over an 18-month timeframe to capture from exiting these unprofitable branch locations and $10 million from G&A? Or are those just absolute stale numbers? I guess, I'm just trying to get a sense of how much you penetrated these new opportunities so far?
Dale E. Redman: The $16 million you're talking about -- when we talked about that in the first quarter, there was $2 million of weather-related issues and $4 million from the closed -- the care centers that we were closing, and we anticipated $10 million of reduced G&A costs. So the $2 million of weather-related costs is not going to reoccur, we don't think, in the second and third quarters. Out of that $4 million of the $10 million of G&A costs, so $2.5 million a quarter, we think we probably got somewhere in the neighborhood of $3 million or so in the second quarter. So we're -- as Ronnie mentioned, we're a little bit ahead of pace, but we're still on target to reduce the G&A costs on an annualized basis by at least $10 million. And most of the costs associated with the closed care centers is gone by the end of the second quarter. So we do not see that as a go-forward cost to the company.
Whit Mayo - Robert W. Baird & Co. Incorporated, Research Division: Okay. And with respect to the proposed rule from CMS, there were several changes to the case rates. Dale, does that have any material impact to how you're thinking about pricing next year?
Dale E. Redman: Well, part of what you have to do in looking at the CMS changes is to get down in the weeds, as you have obviously done, and look at the case rates that are associated with various diagnoses and ultimately determine if that has any impact, at least, on our marketing efforts. It certainly will have no impact on our care of our patients, but it may have an impact on marketing areas where CMS decides to put additional dollars, and it essentially is encouraging you to go take care of particular kinds of patients. But that's a marketing effort, that's not a care effort. We take care of our patients the same way we do all across the board.
Whit Mayo - Robert W. Baird & Co. Incorporated, Research Division: Okay. And I guess, one last one here, is when I look at the press release, there is -- I'm just curious why there's more revenue in the third quarter of last year than what you reported then. It seems like there should be the opposite, given some of these closures and I mean, I understand there's some restatements, but it does feel like you've been -- it's shrinking more than they're growing.
Dale E. Redman: That's part -- that's probably the biggest part of that is discounts. So when we go to -- when we declare something to be discontinued operations, you want to line it in the income statement, and you don't show it broad with all the pieces.
Whit Mayo - Robert W. Baird & Co. Incorporated, Research Division: But in the prior year?
Dale E. Redman: Yes, you reinstate prior year, still on the same basis.
Whit Mayo - Robert W. Baird & Co. Incorporated, Research Division: Okay. Well, I guess, that's kind of my point. I'm curious why there's more revenue. It would seem that it would be the opposite.
Dale E. Redman: Let's talk about that offline. I'm not sure I'm exactly following you, so maybe we can talk about that offline.
Operator: Your next question comes from John Ransom from Raymond James.
John W. Ransom - Raymond James & Associates, Inc., Research Division: Just to make sure we got our math right, what do you think the level of EBITDA is with the new capital structure and new pace of operations? What level of EBITDA do you think you need to break even on a cash flow basis?
Dale E. Redman: I don't know that we're going to project our EBITDA, John.
John W. Ransom - Raymond James & Associates, Inc., Research Division: I'm not asking you to project it, I'm saying, what do you think the minimum breakeven EBITDA is. I'm not asking you to project EBITDA. I'm just saying, how much cash you have to generate to keep the business going?
Dale E. Redman: Well, we have -- let's -- I'm going to give you some pieces. We have $3.5 million round numbers in CapEx. We got $3 million in term loan payment, and operationally, we anticipate making money as we go forward. I alluded to that earlier in terms of being in excess of the $0.15 per share anticipation consensus estimate that's out there today. So I'm not going to give you a specific answer on that issue, but I think you can see the pieces just like we can.
John W. Ransom - Raymond James & Associates, Inc., Research Division: So $24 million in CapEx and principal and then your interest payments?
Dale E. Redman: Yes.
John W. Ransom - Raymond James & Associates, Inc., Research Division: Anything else to think about? Working capital? Any other areas of cash outflow that we're not thinking about?
Dale E. Redman: So the biggest thing that impacts our working capital is DSO. And at this point, we don't really anticipate big changes in DSO as we go forward. And that's probably $4 million a day round numbers if it moves either way. That's probably the biggest issue going forward.
John W. Ransom - Raymond James & Associates, Inc., Research Division: Okay. And at this point, how many agencies do you have remaining that are not profitable?
Ronald A. LaBorde: John, this is Ronnie. The -- what we have is really a group that I would characterize as our low-volume group. It's less than 20. And for the second quarter, that group collectively was slightly positive so that the profile of that group from the first quarter to the second went from slightly negative to slightly positive. So just a small group of -- a relatively small group of care centers, with a positive contribution in the quarter collectively. So I don't want to get into the specifics of individual care centers, but certainly, I would look at it and do look at it that way.
John W. Ransom - Raymond James & Associates, Inc., Research Division: So Ronnie, when you say slightly positive, you mean, EBITDA or earnings?
Ronald A. LaBorde: Yes. No, EBITDA.
John W. Ransom - Raymond James & Associates, Inc., Research Division: EBITDA. That's pre. Okay. And lastly, you mentioned you've cut costs by $10 million. Is there any other areas of corporate overhead that you think have -- are untapped opportunity?
Ronald A. LaBorde: We still have some certainly that we'll continue to focus on to rightsize. I think we're a little ahead of our pace of what we thought we could achieve, but that doesn't mean we're finished. So we'll continue to work to be more efficient with our G&A cost, and we have areas targeted, but none that I want to or be premature to articulate specifically. But just our view that we still have opportunities and we'll continue to work toward achieving that.
Dale E. Redman: John, I think as I mentioned earlier, we've taken out over 100 care centers over the last year because they didn't fit in our core portfolio going forward. So we've made significant efforts that you can obviously see in the terms of working on G&A. But you don't get all that right absolutely the first time you do it, so it's initiated. We will continue to work on being as efficient as we possibly can because that's the nature of being in this business.
John W. Ransom - Raymond James & Associates, Inc., Research Division: And a couple of years ago, Humana put you back on a -- I guess, took you off the episodic way to pay and went more to a rate per visit. Is there anything else going on in your managed care book, one way or the other, in terms of how they're paying you? Or what's this approximate breakdown between the rate-per-visit contracts and the episodic contracts?
Ronald A. LaBorde: I would say generally, the rate-per-visit contracts tend to be a little bit lower than the episodic. And so as we disclosed that we present the non-Medicare portfolio, and the rate per visit there just collectively, which will include some episodic, is a little lower, certainly lower than the Medicare. No big move with that I would point to. Certainly, there is -- with different relationships, there's always that structure in that and the negotiation of a rate, but no big trends that I would point to other than just it's something that has a little bit of an ebb and flow. I think that it's an important piece of our platform that we work to be the most efficient we can. And I'm just looking here, I was just thinking in our -- if we did -- we look at and on the non-Medicare side, our visit, if you look at what our disclosures are, our visits were just over $100 a visit versus our Medicare of $155 to $160 in that range. So it looks a lot significantly lower, but I will say embedded in that non-Medicare piece is both the part that's contracted and non-contracted, and the non-Medicare is kind of a catchall. So it's probably everything, but what's presented as the average. And some already have pretty good, albeit lower margin, good steady business at higher rates than what's reflected at the 1 08 or just north of 100.
John W. Ransom - Raymond James & Associates, Inc., Research Division: So said another way, I mean, the move in to Medicare Advantage, which is about 1/3 of Medicare, that hasn't been a significant headwind? I mean, there's no move from the MA plans to try to move you more to a per-visit type of reimbursement?
Ronald A. LaBorde: Again, different relationships have different perspectives on that. We certainly want to be in a position to be a solution for our referral sources, and our view has been to find a way to efficiently provide care for those patients at rates that make sense to our referral sources and also makes sense for us. Obviously, it's -- and that's just -- again, it's case by case, no overall trends I would point to, to say it's going through it, it's either one way or the other. They have different views about that at this time. As we're talking here, I want to -- we'll get back to the G&A. Maybe just in closing, before we take the next question, I would say that as we do that, I want to go back to the fact that as we work on improving our performance, as previously stated, we're working on all the parts, both direct cost and G&A, and kind of we've acknowledged that we have been lagging in performance, EBITDA performance, against perhaps the industry, and we want to certainly get back to at least that level. So when we put all together and where our opportunities are, we're just not going to stop until we have sustained performance that's, at least, consistent with industry levels. And that's the way we'll view it and how we'll attack both direct and G&A.
Operator: Your next question comes from Toby Wann from Obsidian Research Group.
Toby Wann - Obsidian Research Group, LLC: Quickly on -- with the new credit facility, are there any restrictions associated with that with regards to CapEx or M&A activity, any of those words of activities? I know that the old credit facility did have some restrictions on that.
Dale E. Redman: In terms of CapEx, there are no practical limitations. There is a limitation, but it has no impact on us. It's way above what we intend to spend going forward. On an M&A issue, as we delever the company and our ratios get to where they'll be in a relatively near term and given reasonable accretive transaction, there is really no practical limit.
Toby Wann - Obsidian Research Group, LLC: Okay. That's helpful. And then in terms of any change in terms of the acuity level of the patients you guys were seeing in the home health?
Ronald A. LaBorde: No. Really, no fundamental change. No.
Toby Wann - Obsidian Research Group, LLC: Okay. And then just quickly, I know AMS3 has been talked about a lot in the past. Any update on how that rollout is going when we expect to get all that complete, et cetera?
Ronald A. LaBorde: No. It's our first beta site, we've had a few more challenges than anticipated. We're working through that and responding to some of that with some updates that have gone out. We're -- with that installed, our plan is the next beta site, which will be the second. We'll go live September 1. And if it works like we think it should, then we're looking to begin rolling out later in the fourth quarter. And so pace -- the extent of that and the pace will be determined by, really as we get deeper into it. But rollout is now anticipated not to start until the fourth quarter.
Toby Wann - Obsidian Research Group, LLC: Okay. And then remind me what's the total CapEx involved in developing and deploying AMS3?
Ronald A. LaBorde: The CapEx was $70 million, $65 million, $70 million in development costs. And what we've talked about before, we're carrying, what, $12 million a year of overhead costs that will help us and we'll utilize to roll out the system. When that system is completely rolled out, those costs will go away.
Toby Wann - Obsidian Research Group, LLC: Okay. And we expect to have it completely rolled out, I know, what, next year?
Dale E. Redman: No. At this point, we still -- we've talked about from the time of -- from March, really, it's a 2-year process. Again, that's -- we think that's the -- on the outside. If we're good at it, we think we can trim that up, but we're still thinking at this moment in terms of probably a 2-year roll out.
Operator: Your next question comes from the line of Frank Morgan from RBC Capital Markets.
Frank G. Morgan - RBC Capital Markets, LLC, Research Division: Frank Morgan here with RBC. Just a couple of questions on the hospice side. You talked about the admits being down a little bit. I'm wondering how much of that is attributable to this final phase in movement towards the no longer being able to use debility unspecified as a primary diagnosis. What are you down to as a percentage of the total there in terms of total admits? And talk a little bit about any cap exposure changes, and then finally, just Part D rules that just looks like it may have switched back the other way. I'm wondering how much of a positive that would be relative to what you saw in the original real bank?
Ronald A. LaBorde: Well, thank you, Frank. So we had 0 admissions in the quarter on debility unspecified and failure to thrive. And again, we transitioned that last May 1. So we've been now at year-over-year into it, so that's completely out of our system. We've made that transition. Probably has comparably a little bit of an impact, but effectively, that's out of our system. And it's not a material -- what I would call a material contributor. I think it's, overall, our decline, I would more point to -- I think we just -- it's an opportunity to kind of revitalize our hospice platform and while again, consistent performer, relatively consistent performer in contribution. I think we can grow top line and get more efficient. And I don't have, at the moment, great visibility into the Part D and the ebb and flow there, but we'll certainly as part of what we can do, I think there's an opportunity to get more efficient there and respond to those changes.
Dale E. Redman: On the cap exposure, we haven't seen any change particularly, and now we've got a little over $4 million in what we estimate our cap exposure to be.
Operator: There are no more questions in queue at this time.
Ronald A. LaBorde: Well, in closing, let me, again, thank our Amedisys team for, really, a great effort in the second quarter. We appreciate the opportunity to share these results with you. Appreciate your interest and questions about our results and look forward to updating you at the end of our third quarter. Thank you and have a great day.
Operator: This concludes today's conference call. You may now disconnect.